Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Evolv Technologies Second Quarter Earnings Results.  As a reminder, todayâs call is being recorded. With that, Iâll turn the call over to Brian Norris, Vice President of Finance and Investor Relations. Please go ahead.
Brian Norris: Thank you, John and good afternoon, everyone and welcome to today's call. I'm joined here today by Peter George, our President and Chief Executive Officer; and Mark Donohue, our Chief Financial Officer. This afternoon, after the market closed, we issued a press release announcing our second quarter results and our business outlook for 2022. This press release is available on major news outlets as well as the IR section of our website. During today's call, we will make forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, Section 21E of the Securities Exchange Act of 1934 and the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 that relate to our current expectations and views of future events, included, including rather but not limited to, statements regarding our ability to meet our business outlook. All forward-looking statements are subject to material risks, uncertainties and assumptions, some of which are beyond our control. Actual events or financial results may differ materially from these forward-looking statements because of a number of risks and uncertainties, including, without limitation, the risk factors set forth under the caption Risk Factors in our annual report on Form 10-K for the year-end December 31, 2021, filed with the SEC on March 28, 2022 and in other documents filed with or furnished to the SEC from time to time. Our forward-looking statements represent our views as of August 10, 2022. Although we believe the expectations reflected in these statements are reasonable, we cannot guarantee them. Except as may be required by applicable law, we disclaim any obligation to update them to reflect future events or circumstances. Our commentary today will also include non-GAAP financial measures, including adjusted gross profit, adjusted gross margin, adjusted operating expenses, adjusted EBITDA, adjusted operating income or loss and adjusted earnings and earnings per share which we believe provide additional insight for investors in evaluating ongoing operating results and trends. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with generally accepted accounting principles. Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in our press release issued today. Please note that our definition of these measures may differ from similarly titled metrics presented by other companies. Please be advised that as of January 1, 2023, we no longer plan to disclose total contract value of orders booked, a measure we stopped guiding on several quarters ago because we no longer believe it's consistently indicative of the company's prospects. We encourage investors to continue to focus on key metrics such as annual recurring revenue, remaining performance obligation, deployment activity and total number of subscriptions which we believe are more indicative of the company's prospects. With that, I'll turn the call over to Peter. Peter?
Peter George: Thanks, Brian and thank you, everyone, for joining us today. Weâre pleased to be reporting strong second quarter results which are indicative of the growing momentum and visibility weâre seeing throughout the business. Weâre encouraged by our year-to-date performance and based on the strong demand drivers in our business are optimistic in our outlook for a strong second half of 2022. We have a lot of exciting news to share with you. But before we start, I want to take a moment to formally introduce Mark Donohue, who joined us on June 1 as our Chief Financial Officer. I know Mark is a familiar face to many of you as he has held leadership roles at several publicly traded technology companies. Mark brings over two decades of executive leadership experience with a strong background in subscription-based businesses. He joins us from Vestmark, a leading provider of SaaS-based portfolio management and trading tools, where he served as I for the last four years. Before that, Mark served in several senior roles on the finance team of Rapid7, a leading provider of cybersecurity analytics and automation. He also spent seven years at Cisco, in various executive roles for the Mobility Business Group, any he held senior finance roles at Starent Networks, a leading provider of infrastructure solutions for mobile operators. Mark has helped build and shape several category-leading technology companies across SaaS, cybersecurity and networking. And I know his experience and leadership will be particularly important to our continued growth. Weâre fortunate to have him on board. Welcome, Mark.
Mark Donohue: Thank you, Peter. I'm excited to join the team and I look forward to working with all the members of the investment community, many of whom, as you mentioned, I've worked with before. I joined Evolv, first and foremost, because of the deep connection I have with its vision and mission. Unfortunately, we live in an era of escalating violence and that reality impacts not only my family, friends and colleagues but people in all walks of life. Evolv's next-generation AI technology delivers a practical and affordable approach to helping solve the challenge of making everyone safer and more to use in their daily lives. I also joined Evolv because I see its subscription-based Security-as-a-Service business model as disruptive as the technology itself. I believe the company is extraordinarily well positioned in one of the fastest-growing areas across all of technology. The combination of Evolv products, market position, breadth of customer base, business model, domain expertise and strength of team position it well for the opportunity ahead. I look forward to leveraging my experience to help advance the company's business strategies.
Peter George: Thanks, Mark. Itâs great to have you on board. So now letâs turn to our record financial results which continue to reflect the strong momentum building across the company. Key highlights include: first, we extended our leadership position with dozens of new customers who are creating weapons-free zones. We delivered important product innovations to the market and we continue to gain meaningful traction with our key channel partners. We also surpassed 1,000 Evolv Express systems deployed and $100 million in cumulative bookings. These two milestones would not be possible without the trust of our customers and partners who rely on Evolv to digitally transform their physical security and the hard work and dedication of our employees, our Evolvs, who come to work every day inspired to make the world safer for everyone. Consider one of our health care customers which is a major hospital system in the Southeastern region of the U.S. Since going live just five months ago with Evolv Express, we have successfully detected and stopped over 120 weapons from entering that facility. This included an emergency room visitor who was attempting to gain entry with a concealed subcompact semi-automatic AR-15 rifle and another seven other weapons in his duffle bag. At Evolv, preventing a potential mass shooting, like the one thwarted at that hospital that day is exactly what we were born to do. And in many ways, weâre just getting started. We see a world where physical security is finally democratized, where itâs easy to deploy, easy to operate, affordable and present everywhere you go. Weâre a global leader with over 1,000 units deployed but our vision is much bolder than that. Weâve identified more than 700,000 points of ingress in our core vertical markets that are candidate locations for our technology. Our goal over the next five years is to have over 20,000 of Evolv Express systems deployed globally, screening tens of millions of people every single day. This will accelerate our path to eventually reaching our aspirational milestone of $1 billion of annual recurring revenue. I believe weâre well positioned to execute on this long-term vision and build the most durable and enduring company in the history of physical security. So how are we doing in the execution of that vision? Let me share with you a few key takeaways from the quarter. First, revenue was $9.1 million, up 94% year-over-year, primarily reflecting three drivers: very strong demand in our key vertical markets, including education and health care, an increase in purchased subscription deals and continuing momentum and expansion with our channel partners. We also delivered strong growth in annual recurring revenue and remaining performance obligation. We added a record 53 new customers compared to 44% in the first quarter and 21 in the second quarter of last year as our new customer momentum continues to accelerate. We secured 97 new customers in the first half of this year compared to 84 in all of last year. Since many of our customers are securing multiple buildings or schools, our measure of customers is more conservative than the number of actual buildings weâre securing. As a result, weâre seeing positive trends regarding average transaction size or ASP. Weâve reported four transactions of at least $1 million of TCV compared to 0 in the second quarter of last year. Moving on to our rich and unique data set. We just surpassed 350 million visitors screened, second only to the TSA in North America. Weâre now screening more than 750,000 people every day. And as many as 1.25 million people a day on weekends. Just since the beginning of this year of 2022, we have stopped 57,000 weapons from entering our customersâ venue, including 30,000 guns and 27,000 knives. This is unprecedented in the AI-based weapons detection screening category. Whatâs more, every scan enriches our product capabilities and analytics increases the accuracy and efficacy of our product over time and underscores our technological lead in the market. Iâd like to spend a few minutes highlighting the customer and market traction weâre seeing, starting with the accelerating demand in education, health care and professional sports. Nearly 40% of our TCV came from the education vertical. Key new customers included the Noble Charter Schools which operates 18 non-profit charter public schools across Chicago, with over 12,000 students and Gilford County schools in North Carolina, one of the 50 largest school districts in the United States, serving more than 70,000 students. They are now in the process of deploying just over 40 of Evolv Express systems. A perfect example of how a single customer addition can be much more than a single Evolv Express deployment. Our education market activity and order rate is accelerating as more school boards and school districts digitally transform their security operations, preparing for the upcoming school year and taking advantage of available funding pools. Weâre seeing a couple of really interesting trends in the education market. Weâre seeing more purchasing decisions being made not at the school or the talent level but rather at the district wide level. Weâre also seeing increased adoption of single lane configurations of Evolv Express which fit more readily in the smaller entrances of schools, some of which are decades old. To add some context here, more than 70% of the units we sold in Q2 were single ink configurations with the heaviest demand by far coming in schools. The health care market represented about 15% of our TCV, as an increasing number of hospitals and clinics are looking to enhance patient and safety for their staff. Thatâs not surprising when you consider that a recent U.S. Bureau of Labor Statistics reports that health care workers accounted for 73% of all nonfatal workplace violence. New health care customers include Cincinnati-based Mercy Health which we secured with our Party Stanley Security Solutions, New Jersey-based Capital Health and one of the largest non-profit academic health care systems in the Deep South region of the U.S. The arenas and stadiums market represent about 15% of our TCV. New customers include the O2 arena in the U.K. and yet another major league baseball franchise. Weâve also recently extended our leadership position across the National Football League, where we already support the Tennessee Titans, the Atlanta Falcons and the New England Patriots, just to name a few. Here in the third quarter, we won a competitive opportunity at FirstEnergy Stadium, home of the Cleveland Browns, where weâve also been named the official fan screening provider. Finally, we experienced strong traction with the entertainment, warehouse government industries which combined to represent just over 20% of our TCV. Key wins here included the Blumenthal Performing Art Center, the Tax Museum of Art and the City of Detroit. The win at the city of Detroit is fascinating example of a rapidly developing use case for our technology and itâs also expanding our TAM in an unexpected way. Thereâs a growing demand among government agencies as well as local law enforcement to secure not just buildings where people work, learn and play but also in large gathering spaces where people live their everyday lives. The City of Detroit selected Evolv to support the creation of weapons-free zones for pedestrians across the city because, number one, we could offer a superior visitor experience. We could free up local law enforcement to provide security away from the points of ingress and because we could be integrated into the cityâs security operations center. We also deployed over the summer, just in time for the Ford Fireworks Display which has been on hiatus for two years due to COVID pandemic. This celebration was held downtown with over 100,000 people in attendance in the main viewing areas. In past years, the event has been plagued with gun violence and many residents expressed fear for attending. The result of this summerâs event 0-gun violence. We continue to see growing momentum internationally. For the second quarter in a row, we secured over $1 million of TCV outside of North America. Recent wins internationally include the AO Arena and the O2 Arena in the U.K. and Distrito T-Mobile, our first win in Puerto Rico. The AO Arena which is managed by ASM Global, welcomes over one million visitors each year and is one of the busiest venues in the world. We were deployed to enhance venue safety and security as well as improve the customer experience by making lines go away to offer a seamless and swift arrival into the venue. Given the positive experience at the AO Arena, the ASM Global has announced plans to further roll out Evolv Express at other venues across Europe. Distrito T-Mobile is a major entertainment complex in Puerto Rico which opened in August of 2021. Itâs located in the Miramar section of San Juan and drew more than 1.7 million visitors in the first six months of operations. Our technology is allowing visitors to walk into their iconic complex safely and seamlessly without any delays at all at the entrance. One of the most important elements of our long-term growth objectives is the leverage weâre getting from strategic channel partners like Motorola Solutions, Johnson Controls and Stanley Security Solutions, as well as our other growing number of regional partners who combine to extend our vertical and geographic reach efficiently and effectively. The number of qualified partner-involved opportunities has never been higher. I am pleased to report that our partners contributed to over 50% to our order activity in the second quarter and nearly half of that came through Motorola Solutions with whom we have a strategic OEM partnership. We now have nearly 500 qualified opportunities in our pipeline with Motorola. We continue to make great progress on cross training, enablement, activation and certification of the Motorola teams. So in summary, we are reporting strong second quarter results, highlighted by record revenues, ARR and RPO. We continue to see strong market momentum in education, fuelled by newly available federal and state funding. We continue to extend our leadership position with a record number of new customers, strong product introductions and acceleration with our key channel partners. We remain well capitalized and believe that the strength of our balance sheet will enable us to reach cash flow breakeven without any additional capital. And finally, based on the strength of our first half results and the momentum in the business, we remain highly confident in our ability to deliver on our full year growth plans. With that, let me turn things over to Mark, who will take you through the financial results and our outlook for the back half of 2022. Mark?
Mark Donohue: Thanks, Peter and good afternoon, everyone. I'm going to review our results in more detail and then share some thoughts on how we're thinking about the rest of the year. As Peter mentioned, revenue was $9.1 million, up 4% sequentially and 94% year-over-year. This growth was highlighted by a 33% sequential increase in subscription revenue, reflecting the growing emphasis we're making on our pure subscription model. We ended the second quarter with 1,147 contracted subscriptions, up 26% sequentially and 193% year-over-year. TCV was $22.1 million, up 15% sequentially and 111% year-over-year. ARR at the end of the second quarter was $20.9 million, reflecting growth of 25% sequentially and 181% year-over-year. Remaining performance obligation, or RPO, was a record $66.2 million at the end of the second quarter, up 31% sequentially and 166% year-over-year. RPO reflects the difference between contract value and revenue that has already been recognized for units that have been deployed as of the end of the quarter. We estimate that the gross margin of our current RPO, excluding overhead, is approximately 65%, the benefit of which will accrete to our income statement over time. That does not include the renewal opportunity which would strengthen that gross margin over time as well. In addition to RPO, we had another $14.7 million of contracted revenue associated with units that had not yet been installed as of June 30, 2022. So in total, we had about $81 million of RPO plus contracted revenue in backlog at the end of the second quarter, representing growth of approximately 27% sequentially. Gross margin was 6% compared to 16% in the second quarter of last year. As a reminder, our gross margins don't currently reflect the overall business value as we're using two very different accounting treatments between our pure subscription sales and our hardware purchased subscription sales. In case of pure subscription sales, we're yielding gross margins that align better to the long-term deal economics. Alternatively, with our hardware purchased subscription sales, we recognize the equipment revenue and equipment costs at the beginning of the subscription period in advance of the long-term software subscription benefit. This results in lower gross margins for hardware subscription sales earlier in the life cycle than is typical over the contract period. The combination of these very different accounting treatments has traditionally driven our reported gross margins lower than the value of the customer contracts are truly reflecting over time. Going forward, we expect to lead increasingly with our pure subscription offering which aligns more closely to the SaaS nature of our business model. The Q2 gross margins also reflected a higher mix of single lane systems we sold as we accelerated our presence in the education market and the higher contribution we saw from our channel partners. Total non-GAAP operating expenses were $18.2 million compared to $19.4 million in the first quarter of 2022 and $6.6 million in the second quarter of last year. This sequential decline in OpEx reflects reductions in ongoing professional services and our continued company-wide focus on cost control. We exited the quarter with 213 employees compared to 196 at March 31, 2022, reflecting a net add of 17 employees. Net loss was $25.7 million compared to $23 million in the second quarter of last year. Adjusted net loss which excludes stock-based compensation and other onetime items, was $17.3 million compared to $9.1 million in the second quarter of last year. Adjusted EBITDA which excludes stock-based compensation and other onetime items as well, was $16.4 million compared to $5.2 million in the second quarter of last year. Turning to the balance sheet. We ended the quarter with $243 million in cash and cash equivalents, down about $28 million from the first quarter of 2022. This reflects adjusted net loss of $17 million as well as several other uses of cash in the period which were timing related and we expect will benefit us over the next several quarters. The first was an investment we made in finished goods inventory as we continue to prioritize product availability. Our inventory balances increased 55% sequentially to $6 million at June 30, 2022, compared to $3.9 million at March 31, 2022. Another driver was the increase in prepaid deposit balances, primarily related to our contract manufacturing partner, again as we prioritize product availability and lock in hard-to-source components. Prepaid deposits increased by 32% sequentially to $17.7 million at June 30, 2022, from $13.5 million at March 31, 2022. Finally, we saw an uptick in accounts receivable due to the increase in sales as well as our pause in billing activity earlier in Q2 as we migrated to NetSuite for our new ERP system. Our AR balance increased by 42% sequentially to $12.2 million at June 30, 2022, from $8.6 million at March 30, 2022. In total, these three drivers combined to consume approximately $10 million in cash in the second quarter of 2022. We consider all of this to be timing related and not we would consider run rate use of cash going forward. As we shared last quarter, we continue to expect our quarterly cash losses to decrease in the second half of the year as we grow deployments and limited expenses. We are encouraged by our progress during the first half of the year. We believe we are well positioned to meet our full year growth plans and as such, are reaffirming our previous guidance which calls for full year revenue of between $29 million to $31 million with the year exiting ARR to more than double to $27 million to $28 million. We expect to end the year with approximately $220 million to $230 million in cash which reflects increased inventory buildup and deposits for materials to support our growth plans in 2023. It also assumes we're successful in implementing third-party financing to support our rapidly growing pure subscription pricing model. We also expect to pay down our expanding long-term debt of approximately $10 million before the end of 2022. So in summary, we're pleased with our strong results of the second quarter. We're excited about our plans for the back half of the year and the opportunity ahead in 2023. And with that, I'll turn the call back over to Brian.
Peter George: Thank you, Mark. At this time, I'd like to open the call up for Q&A. Again, we ask participants to limit themselves to one question and one follow-up. I'm going to turn the call back over to John.
Operator:  And first we'll go to line of Shaul Eyal with Cowen.
Shaul Eyal: Apologies for joining a little late. Just want to find out, in your financial statement, I think youâve mentioned just a number of prior errors in financials -- prior financial statements for kind of 2021. So just can you address that and pretty much what changes have been implemented when you think about your reporting systems? And I have a follow-up.
Mark Donohue: Thanks, Shaul. This is Mark Donohue. Yes, so we're really strengthening our team, the processes and systems that we're using right now. We talked about moving to our new ERP system, NetSuite this quarter. So we've been finding some minor elements, some minor reclasses, some minor fixes. And we worked with PwC to really see how to best handle those going forward. The areas are not really core to the business that we're really driving. But just to give you a sense, we had a reclass from field and tech resources that were in sales and marketing, some small numbers that we really felt belonged in COGS long term and just some inventory and fixed asset reclasses that we did as we kind of drive our SaaS model. But other than that, it's not a serious amount of things and the numbers are relatively small.
Shaul Eyal: Understood. My second question is, did you kind of have -- and I know the international opportunity loan book represents a meaningful one. Any issues with foreign exchange this quarter? I would imagine the answer is probably no but just want to see how you guys feel about it.
Peter George: No, there's no issue with foreign exchange at this point. We're actually doing all of our billing in USD. So that would not be an issue. And we've been keeping -- we're relatively -- we're relatively clean in terms of our AR balances on the international side. And just to let you know, too, that just less than 5% is coming out of EMEA right now for us.
Operator: Next, we'll go to the line of Mike Latimore with Northland Capital Markets.
Mike Latimore: So yes, congrats on the quarter and it sounds like a great momentum in the business. Just wanted to get some more detail on the bookings and pipeline. Do you have a percent of the bookings and pipeline that are kind of peer subscription versus purchased subscription, I guess, you call?
Peter George: Sure. Let me take that and then I'll ask Mark to weigh in. We had a great quarter in health care and education. What we learned during Q2 is that a lot of the education customers wanted to do a purchased subscription. So they ended up buying the hardware and getting the subscription with it. It ended up being about 50% of our sales which is -- we didn't expect that. And we had planned for something a lot smaller. So we think in the back half of the year, we're going to direct our customers more towards full subscription and not purchased subscription. And because we had such a strong Q2 in purchased subscription, it drove the revenue number up. But we don't think that that's going to be the future back half of the year or what we'll want to do in 2023. So the mix was about 50:50. We expect that to change and lean heavily towards subscription. I'd like it to be more like 80:20 or 90:10 in 2023 and we're going to work our way there in the back half of 2022.
Mike Latimore: Okay, great. And then I know the supply chains have made it harder to reduce the system cost, hardware cost overall. But maybe can you give a little bit of an update on the plan to get the hardware system cost down? What's the strategy there? What's the potential timing and potential magnitude of the change?
Mark Donohue: Yes. I mean, Peter and I will probably tag team on this one but let me get started here first. Going into next year, weâre already working hard on some cost-down measures for our Express system. So we are instituting those. And we expect by sometime middle of next year to start seeing some of the benefits from those cost down efforts. If weâre looking at the supply chain more generally, it has been a tough environment. Weâre doing some buys of our products as early as 12 months in advance just so we can kind of secure those parts. Thereâs last time buys that are happening. So weâre being very vigilant on that front. And then, just in this kind of heightened market where the supply chain is under pressure, there have been what we call purchase price variances which is basically -- itâs basically just some of our products costing a little bit more than they typically would and weâre trying to keep that in check as well. But those are some of the things that weâre doing. I donât think itâs -- it isnât anything to be concerned about and we actually have quite a bit of -- quite a team working through it and helping us keep it in check.
Peter George: Yes. And I would only add to that, Mike, that we made meeting the demand the top priority for the company this year. And because of that, with the global supply chain challenges and our strong balance sheet, we forward ordered long lead time items to make sure that we have the product in place to go meet the demand. As you know, our plan is to exit this year with about 1,500 systems deployed. We're going to beat that number. And the investment we made in parts late last year and early this year, guarantee that. So we're really happy we did it. And I think it's going to pay big dividends for us going forward. And our team has done a really so job of redesigning systems, dealing with the global chip problem and making sure that we can meet the demand. And we're delivering systems in less than 30 days to our customers today and we feel great about that.
Mike Latimore: I guess just one last one. Just piqued my interest to the trade story. I guess are you seeing -- I mean, that sounds like a highly valuable and useful use case. Iâm guessing that could be a good reference accounts but are you seeing other kind of interest in weapons-free zones around the country?
Peter George: We are. I mean, as we know, violence is increasing everywhere at venues but also in cities and with all the anxiety. So we're -- the City of Detroit came to us last year and said, we would like to create pedestrian-free zones, downtown in areas where people just can walk. And of course, we talked about what we did with them at the fireworks. It's exciting. And there are lots of other cities that have come to us that are having the same problem that we think we can help them. So we're excited about it. We didn't think that that was going to be a great use case for us but it's becoming one. And I think it expands our TAM because it's not something we had planned for before. So we hope you'll see our systems as you walk into areas that -- it's not a building but it's places where people gather for festivals and things like that, they'll be walking through our system. So when you're inside, you're safe.
Operator:  And we'll go to Brian Ruttenbur with Imperial Capital.
Brian Ruttenbur: Great. Good quarter. Couple of quick questions. Your guidance of $29 million to $31 million implies that the second half of the year is going to be weaker than the first half. I think youâve produced roughly $18 million in revenue in the first half. Am I misreading something or misunderstanding?
Peter George: Well, look, let's start with -- look, we have a lot of momentum in our business and we feel really good about where we are. Having said that, what I said earlier, Brian, is that we didn't expect 50% of our business to be purchased subscription. We expected 20% of our business to be purchased subscription which drove the revenue rec higher than we expected. We're going to be directing our salespeople and our channel to lead with subscription only in the back half of the year and maybe only offer that next year, we'll see. And I think that's going to change what the revenue model looks like. So we want to take a conservative and cautious and prudent approach to guidance. And we'll let Q3 help determine what the mix is going to look like. So, we feel really good about the momentum in our business but given that shift towards purchased subscription, it artificially inflated our revenue and we don't think that's going to be the trend going forward. Add to that inflationary concerns and concerns about the recession and a war in global supply chain, we think being prudent and conservative right now is the right approach. But against the backdrop of that is really strong demand and momentum in our business.
Brian Ruttenbur: Great. Can you talk a little bit about your single units going into the schools? Can you give us a ballpark on how those are being funded and how much those costs on a per-school basis? Just want to see where the money is coming from school systems are historically cheap and youâre getting a lot of traction there. So I just want to understand how youâre getting that trial.
Peter George: Yes. There are a couple of things going on there. Number one, what we saw was an enormous amount of business coming through the channel. So our channel partners, as we mentioned, some of them have been selling to schools for decades. So they're really, really well positioned to lead with our product and not only sell our product by itself but integrate it into other things that they're selling, access control, video analytics, things that they do and then stitch that together to provide a really nice solution. So our channel has done a really great job of getting us in front of the opportunity in schools. We're seeing new funding in schools around the Safety Act but also there's been ESSER funding that was issued a couple of years ago that was COVID-related. There's $150 billion of ESSER funding that's unused that was issued by the federal government that schools can tap into. And so we're starting to see people use those unspent ESSER funding to fund security and that's driving schools now to be able to step forward and deploy these systems; so that's the interest. And the other thing around the schools is that we had planned for selling lots of dual-lane systems. And what weâre finding is schools are putting a dual-lane in the main door but in other doors where theyâre bringing in the bus stop or the car drop off, theyâre using single lane systems. So thatâs whatâs shifting the mix from dual-lane to single-lane. And then, the cost of that is about 40% less than our dual-lane system. So we have to sell a lot more single lanes to make both the revenue and the TCV numbers that we have planned for.
Operator: And next we'll go to line of Brad Reback with Stifel.
Brad Reback: Can you guys remind us what the economics look like on the channel sales?
Mark Donohue: Sure. So we have an MSRP that we issued to the market. Our standard channel partners get 20% discount. And we have even a bigger discount with our OEM partner. So we know exactly when it goes through the channel, what the margin is going to look like because we recognize the buy price from the channel to us. And we also retire quota with our salespeople on the buy price as well. So that's what the discount is. It's standard. Everyone gets the same one and it helps us be more predictable about what our margins are going to be and what revenue we're going to get.
Brad Reback: And on the revenue front, does the rev rec happen when the customer installs or when you deliver it to the partner?
Peter George: It's on the -- it's actually on the -- it depends on the situation. For the subscription -- pure subscription sales, it happens on the installs. If we're selling it to the partner or frankly, any hardware purchase, especially with the channel, it's actually recognized upon the receipt by the channel.
Brad Reback: That's great. And I know you said two but could I sneak one third one in which is around the third-party financing commentary. Will that meaningfully change the economics going forward?
Peter George: So what weâre really doing as we go and try to drive the SaaS business, weâre obviously going to have an increase in our fixed assets as we -- over the period to which we -- the lifetime value of the product. Weâre going to be trying to try to finance that because obviously, weâre not a bank. Itâs not core to our business long term and we want to keep our operating capital in play. So I would expect by the end of the year, weâre probably going to have close to -- at this point, weâve got about $35 million in fixed assets. Weâd probably have something in the area of $45 million of fixed assets. And this is the time when we want to start thinking about making sure that weâre working through that and funding it correctly.
Operator: And with that, I'll turn it back to the company with no further questions in queue.
Brian Norris: Terrific. John, thanks very much. We appreciate that last question. So what I want to do is Iâm going to turn the call back over to Peter for just a few closing remarks.
Peter George: Sure. Thanks, Brian. Thank you, everyone, for joining our call today. We feel really good about the results that we just announced to the market: record revenue, record ARR, record RPO. We're excited about that. Obviously, we're operating at a higher level, particularly around education and health care. We've seen a dramatic increase in the pipeline and opportunities in those two verticals. They're big verticals to go get and we're going to go get them. We've extended our leadership in terms of record new customers. We're innovating which is critical for our products. And of course, we're enabling our channel and getting amazing operational leverage, both here in North America but also getting that same kind of leverage in the international markets. As I mentioned, we feel great that we're fully capitalized as a company and have a lot of confidence in the full year outlook of the number. So we thank everyone for joining the number and we look forward to the next call that we have which I think is going to be in November to report our Q3 results. Thanks, everybody.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.